Operator: Good day everyone and thank you for standing by. Welcome to the Triple-S Management Second Quarter 2021 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Garrett Edson. Please go ahead sir. 
Garrett Edson: Thank you and good morning. Welcome to the Triple-S Management second quarter 2021 earnings conference call. With us today are your host; Bobby Garcia, President and Chief Executive Officer of Triple-S; and Victor Haddock Executive Vice President and Chief Financial Officer; in addition, Madeline Hernandez, Chief Operating Officer and President of Managed Care who will be available during Q&A.  By now everyone should have access to the earnings announcement which was released prior to this call which may also be found on the company's website triplesmanagement.com. Before we begin formal remarks, we need to remind everyone that each quarter Triple-S management executives will provide their current view of the company's future and thus they will be sharing forward-looking information. These statements can be affected by risks and uncertainties involved in the business. Despite management's best efforts actual results may differ materially from such forward-looking statements and what you hear on today's call. These statements are not guarantees of future performance and therefore undue reliance should not be placed upon them. For further information on factors that could impact the company and the statements and projections contained herein please refer to the safe harbor section in today's news release and the company's filings with the Securities and Exchange Commission. Each forward-looking statement and projection of financial information made during this call is based on the information available to us as of the date of this call. We disclaim any obligation to update our forward-looking statements unless required by law. In addition, this call is being webcast and an archived version will be available shortly after the call ends on the Investor Relations portion of the company's website at www.triplesmanagement.com. If you cannot download a copy of the release you can contact us at (787) 792-6488 and we will get one to you immediately and can add you to the distribution list moving forward. With that I'd now like to turn the call over to Bobby Garcia. Please go ahead. 
Bobby Garcia: Thanks Garrett. Good morning everyone. We appreciate your time today and hope everyone is in good health. In the second quarter we again achieved double digit revenue growth driven by strong Medicaid results and steady top line growth at Life and P&C. We also continued developing our patient-centered care managed services and chronic condition intervention programs a key part of our value-based integrated healthcare strategy as we implement and start scaling them in the second half of the year. Total operating revenue for the quarter increased 15% from the prior year period to $1.01 billion as we benefited once again from higher Medicaid membership and average premium rates. Adjusted net income was $10.5 million. This is $0.44 per diluted share compared with $1.76 per share in the second quarter of 2020. As you'll recall adjusted earnings per share in the same quarter of last year was significantly boosted by much lower utilization due to the pandemic. As expected second quarter utilization of services has almost fully normalized compared to last year's unusually low levels as the economy is reopening and more Puerto Ricans are fully vaccinated. Despite this increase in utilization, we remain confident in our outlook for the full year. Let me now turn to our segment performance beginning with Managed Care. At our Medicare Advantage business, we again saw a slight membership increase in the quarter. Our team is working hard to further enhance our Medicare Advantage offering in advance of this year's open enrollment period which begins on October 15. We will highlight some of the new features during our next call. Our Medicaid segment continued its healthy top line growth. We added another 9000 members in the second quarter and continued to benefit from the premium rate increases we received last year. We now have nearly 446000 members reinforcing our position as the leading Medicaid provider on the island. And recently the Puerto Rico Health Insurance Administration notified us of its decision to extend the current Vital contract for an additional year through September of 2022. Subject to the negotiation of rates over the next months we have agreed to this extension. Our Life and P&C segments again delivered for Triple-S. Both businesses generated another quarter of steady revenue and solid profits. In terms of the overall environment in Puerto Rico we remain optimistic, despite recent news concerning the Delta variant. 2.2 million Puerto Ricans or approximately 2/3 of the island's total population have received at least one vaccine dose. 93% of the population older than 65 is fully vaccinated and 56% of the total population is fully vaccinated. This ranks Puerto Rico number 11 among all U.S. states and territories for full vaccination rates.  As a result the island is essentially open for business. Also a few weeks ago the government reached a verbal understanding with two bond insurers that should hopefully pave the way for a final approved debt restructuring and the emergence to Puerto Rico from bankruptcy by the end of the year. Combined with the recent additional flow of federal and reconstruction funds we are excited for Puerto Rico's and consequently Triple-S' longer-term future. In terms of our strategy to provide seamless affordable and top-quality care for our members we noted on our last call that we were planning to introduce and scale specific chronic condition management programs for conditions such as diabetes, heart failure and kidney disease in the second half of this year. We made solid progress during the quarter in further developing these programs and we remain on track to launch them in the coming months.  As a reminder, through these programs we expect to gauge a significantly larger percentage of the affected population than we've been able to reach under our legacy models. We look forward to providing you with further updates on the implementation and early feedback of these programs in upcoming calls. Before moving on to guidance, I'd like to take a minute to highlight our Life segment. While we typically focus these calls on our core Managed Care segment, which is of course the lion share of our business, life insurance has been a consistent reliable growth engine for Triple-S over the years and we believe it is a great complement to our Managed Care segment. We've always thought of our Life segment as a natural adjunct to what we do. After all our mission is to enable long and healthy lives. Being able to provide our members with additional life coverage creates cross-selling opportunities for both groups and individuals. It also gives our health insurance members the opportunity to add affordable life as well as short and long-term disability cancer policies to their coverage enhancing their financial protection and peace of mind. We distribute our life policies through a network of over 700 captive agents based in 25 district offices as well as through over 300 independent agents and brokers. It's an offering that resonates with our members. Last year, our Life segment earned $196 million in premiums and we expect to touch that mark in 2021. With over 672,000 contracts in force our market share on the island is 21% for life policies and 27% for cancer policies. As importantly, the segment generates $28 million in operating income in 2020. In other words, it's an ongoing material contributor to our bottom line performance. As we think about our Life segment going forward we aim to continue growing our strong market share on the island further building out our agent network. Now let me turn to our full-year guidance. For full-year 2021, we are reaffirming our guidance based on the current economic environment the continued impacts of COVID-19 and the investment in and initial benefits from our strategic initiatives. We expect consolidated operating revenue to be between $3.98 billion and $4.02 billion, which includes Managed Care premiums earned net between $3.58 billion and $3.62 billion. Our consolidated claims incurred ratio is expected to be between 83% and 84% while the Managed Care MLR is expected to be between 86% and 87%. This reflects expected higher utilization during 2021 the elimination of the HIP fee and increased membership in the Medicaid program, which has higher MLR than the commercial and Medicare businesses. Our outlook for the consolidated operating expense ratio remains at 15.5% to 16.5% as we invest in our integrated delivery model. The effective tax rate is expected to be between 29% and 31% and our outlook for adjusted net income through the share as defined in this morning's earnings call -- I'm sorry the earnings release remains between $2.95 and $3.15. Company is assuming a weighted average diluted share count for full-year 2021 of 23.6 million shares. Longer term we remain confident that the integrated delivery strategy that we're pursuing will enable us to achieve our goal of high single-digit top line CAGR and low double double-digit bottom line CAGR over our four-year strategic horizon. And now I'll ask Victor to address our financial results. 
Victor Haddock: Thank you, Bobby and good morning everyone. Our second quarter results, were driven by a significant increase in Medicaid membership and the impact of normalized utilization patterns compared with the prior year quarter. Because of the COVID-19 pandemic we also continue to see previously deferred utilization along with pandemic-related costs resulting in an expected year-over-year increase in our MLR. Reported adjusted net income per diluted share for the second quarter was $0.44 compared with $1.76 in the prior year quarter. Now moving to our segment results. In Managed Care, premiums earned net increased $120.5 million or 15% over the same quarter last year. The increase was due to higher average premium rates across all businesses and higher Medicaid member months. In the Medicaid business, average premium rates increased 7% compared with the prior year primarily as a result of a rate increase in July 2020. Medicaid member months rose again in the second quarter by approximately 256,000 or 24% year-over-year. We have seen an acceleration in our membership growth since November 2020 primarily due to the government reassigning members of a Medicaid carrier that left the island program and an increase in medical eligible population of approximately 60,000. In the Medicare business, we had higher premiums per member, per month, primarily due to an increase in our average risk force and in the CMS premium benchmark. The commercial business had a decline in member months of approximately 26,000, reflecting the economic impact of the pandemic. Managed Care claims increased $176.9 million year-over-year and the MLR at 88.4% was 900 basis points higher than last year. The rise in MLR was primarily due to several factors: first, the prior year quarter MLR was favorably affected by the pandemic, which led to significantly reduced utilization in the second quarter of 2020. The normalized utilization we experienced in the second quarter of 2021 made up most of the increase. Second, the waiver of medical and payment policies; third, pandemic-related testing and treatment costs, which together with the waiver of policy represented approximately 90 basis points of the increase in MLR in the second quarter of 2020; fourth, the elimination of the HIP fee pass-through in 2021 contributed to the higher MLR; lastly, increase in membership in the Medicaid business has a higher MLR than the Medicare and commercial loans. Managed Care operating expenses improved $33.5 million from a year ago, primarily reflecting the accrual in the prior year quarter of a potential litigation loss and elimination of the HIP fee in 2021. The rise in MLR was partially offset by Medicaid premium rate increase, I mentioned earlier and a favorable prior period reserve development. Moving to our Life Property and Casualty segments. Life premiums earned net rose 12% from the prior year quarter, driven by new sales and retention in the individual and cancer products. The segment's operating income was $6.4 million compared with $9.5 million in the prior year quarter, primarily reflecting higher actuarial reserves due to increased policy retention. The change in operating income also reflects higher benefits paid in the second quarter of 2021 as compared with lower volume of claim submissions in the prior year quarter due to the pandemic. In our Property and Casualty segment, net premiums earned increased 13% from the prior year quarter because of higher sales during 2021. Operating income for the quarter was $2 million compared with $6.7 million during the same quarter last year. The segment's lower operating income was driven by higher losses and operating expenses in the second quarter of 2021. Losses during the second quarter of 2020 were lower due to the pandemic. Returning to consolidated results. Income tax expense this quarter was $6.4 million compared with $27.2 million during the prior year quarter. The decrease was due to lower year-over-year net unrealized gains on equity investments and pre-tax income in the Managed Care segment. As of June 30, 2021, the company had cash and cash equivalents $174.4 million and its investment portfolio stood at $1.9 billion, 67% of which is investment-grade fixed income securities. We believe we remain well capitalized to support our business operations and our long-term strategy. We will now proceed to our Q&A section. Operator, please open the call for questions.
Operator:
Bobby Garcia: Thank you, operator. As always, I want to recognize and thank the entire Triple-S team for their continued efforts and dedication, as they stay focused on building a healthcare delivery system that is patient-centered and committed to quality outcomes. I want to thank also everyone on the call today for your time and ongoing support. And we look forward to talking with you again during our third quarter earnings call. In the meantime, please reach out to us if you have any more questions, and I wish you all great day.
Operator: And that concludes today's conference. Thank you for your participation you may now disconnect.